Operator: Greetings and welcome to the Intrawest Resorts Holdings Fiscal 2015 Year-end Earnings Call. [Operator Instructions] As a remainder this conference is being record. I would now like to turn the conference over to your host Miss. Liz Derosier, Director of Finance. Thank you, you may begin.
Liz Derosier: Thank you. Good morning everyone and welcome to the Intrawest Resorts Holdings fiscal 2015 year-end earnings conference call. After our prepared remarks, there will be a brief question-and-answer session. I’d like to remind you that some of the comments made by management during the conference call contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filings filed with the SEC including reports filed under Securities Exchange Act of 1934. We caution you not to put undue reliance on forward-looking statements. Forward-looking statements made during the call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income or other GAAP measures, management believes adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K dated September 9, 2015. Additionally, please note that we have made immaterial revisions to prior period financial statements in the Form 10-K filed this morning with the SEC. These filings and the presentation that accompanies today’s call are located in the Investor Relations section of our website at intrawest.com. Our call today will include remarks from Tom Marano, Chief Executive Officer, and Travis Mayer, Chief Financial Officer. I will now turn the call over to Intrawest’s CEO, Tom Marano.
Tom Marano: Thank you Liz and welcome everyone. Our fiscal 2015 results exceeded the high-end of our guidance for adjusted EBITDA by $4.7 million. We overcame challenging conditions to deliver double-digit growth with total segment revenue of $582 million, up 13.8% relative to the prior year and adjusted EBITDA of $112.7 million, up 11.4% relative to the prior year. We exceeded the high-end of our guidance range as the result of a stronger-than-expected finish to the ski season and robust firefighting in the fourth quarter. Our fiscal 2015 results reflect select price increases, higher visitations, and increased market share in our Mountain Segment due to strong season pass and frequency product sales, and the impact of certain growth capital investments. As I discuss our fiscal 2015 results, I will reference several same-store metrics that were calculated on a constant currency basis and as if 100% of Blue Mountain was owned during all periods, as we believe these same-store metrics best capture the true underlying performance of our business. In fiscal 2015, Mountain Segment revenue grew by $75.1 million or 21.4%, and Mountain adjusted EBITDA increased by $13.6 million or 18% compared to the prior year. This growth was due to both the successful acquisition of Blue Mountain and significant organic growth at our mountain resorts. We are extremely pleased with the Blue Mountain acquisition and the benefits of full ownership. In constant currency, Blue’s EBITDA grew over 16% this fiscal year, we not only identified and executed on cost-side efficiencies but also drove revenue growth through enhanced marketing and new multi-mountain products. While we benefited from the addition of Blue, we also drove strong same-store results. On a same-store basis, Mountain revenue grew 6.4% and Mountain adjusted EBITDA increased 12.6%. We are especially pleased with its growth given the challenging conditions and the decline in skier visits across the country. We successfully executed our plan to both grow volume and increase prices with same-store skier visits up 1.2% and same-store revenue per skier visit up 5.6% relative to the prior year. We achieved this significant same-store growth despite below average snowfall and challenging conditions at our resorts this past ski season. Our success highlights the exceptional experience we provide to our guests and the ability of our geographic diversity, adaptability and strong season pass programs to mitigate the potential impact of challenging conditions. Our season pass and frequency product sales increased more than 16% for fiscal 2015 contributing to the total list revenue growth of 8.1% on a same-store basis. Season pass and frequency product revenue represented approximately 40% of our lift revenue in fiscal 2015, up from approximately 37% of our lift revenue last year. For the upcoming ski season, we plan to build on the success of our multi-mountain pass products with the introduction of the M.A.X Pass and the expansion of the Rocky Mountain Super Pass Plus, our flagship Colorado pass product. For the upcoming season, Rocky Mountain Super Pass Plus holders will have access to new resorts in Japan, New Zealand, and Alaska in addition to the existing Colorado resorts. This expansion broadens our reach and exposure to key destination and international markets. While we are still actively pursuing resort acquisitions, the continued success of our capitalized strategy to expand our multi-mountain pass products through strategic alliances provide some of the revenue synergies we would expect without the cost. Therefore, we are pursuing both strategies in parallel. Looking forward, we are optimistic about the upcoming ski season and believe we are well positioned for continued growth. Season pass and frequency product sales for this coming season are pacing well ahead of last year both for our individual resort passes and our multi-mountain products. Heading into the fall sales promotions, seasons pass and frequency product sales were up more than 15% compared to the same time last year, the continued strong demand for our pass products demonstrates, the undeniable value of our offerings and the positive impact of adding new resorts to our passes via strategic alliances. CMH bookings for the 2015/2016 season are also pacing ahead of last year. Reservations for winter guest nights are up over 8% ahead of the same time last year. The current reservations pacing demonstrates the significant demand for this unique experience even after the historically challenging snow season in British Columbia last winter. In addition to the favorable pacing metrics for season pass sales and CMH reservations, we see other encouraging indicators for the upcoming ski season. We have increased inbound air seats to the Hayden Steamboat Airport by 13% for this upcoming season with expanded service from the Midwest, New York, Seattle, and Washington DC as well as daily service from Los Angeles. Steamboat is our largest destination focused resort and this improved guest access positions the resort well for additional growth this season. On the capital front, we have continued to invest in our snowmaking infrastructure and have purchased over 600 snowmaking guns in the past two years, which provides snowmaking on over 80% of terrain across our Eastern resorts, where snowmaking is most important within our portfolio. Our extensive snowmaking allows us to open terrain faster, make more snow with less energy, and overcome weather volatility to deliver a consistent high-quality ski experience to our guests independent of snowfall. We are also rolling out RFID hands-free lift access and validation technology at Steamboat and Winter Park this season and our expanding Resort Charge across our portfolio, which enables guests to make purchases directly with their pass instead of a credit card. We believe these initiatives will enhance the guest experience, increase operating efficiency and further improve our ability to collect valuable guest data. Thus far, our investments in improving the guest experience has proven successful. Specifically, the development of the new Lunch Rock restaurant at Winter Park had a substantial impact on our success last ski season as Winter Park had a record year and contributed more to our adjusted EBITDA growth than any other resort. The restaurant contributed to our increase in F&B revenue. Also, in combination with the addition of new resorts to the Rocky Mountain Super Pass Plus, it helped to create excitement and energy in the marketplace that grew revenue in other lines of business within the resort. Based on the success of Lunch Rock, we believe future growth capital investments will be a key component of our growth going forward. In the East, construction is on schedule for the Stratton base lodge renovation and we are on target to unveil the new facility prior to the December holidays. The modernized and expanded design delivers 350 more seat and an additional 4,000 square feet to accommodate the demand for food and beverage services at Stratton. Guests can expect upgraded food and beverage offerings, including many of the concepts developed and proven successful at our new on-mountain restaurants at Steamboat and Winter Park. This project demonstrates our continued focus on improving F&B offerings across our platform as our customers want and are willing to pay for higher-quality food and beverages. We will continue to look for growth opportunities, both organic and external, and we will do so in a disciplined manner to ensure that we are creating long-term value for shareholders. We are excited for the upcoming ski season and look forward to building on the growth achieved in fiscal 2015. I'd now like to turn the call over to Travis for a more detailed discussion of our segment operating results and our fiscal 2016 outlook.
Travis Mayer: Thank you, Tom, and good morning, everyone. As Tom mentioned, our fiscal 2015 results were strong, particularly when viewed on a constant currency basis. Because approximately 40% of both our revenue and expenses are derived from our Canadian operations, we are subject to foreign currency translation adjustments based on the US to Canadian dollar exchange rate. The weaken Canadian dollar unfavorably impacted fiscal 2015 total segment revenue by $25.5 million and adjusted EBITDA by $6 million relative to the prior year. Also, since last September, when we acquired the remaining 50% of Blue Mountain that we did not previously own, our results have included 100% of the skier visits revenue and EBITDA from Blue Mountain, whereas in the prior year, our then-50% interest in Blue Mountain was accounted for under the equity method and our results included only 50% of Blue’s EBITDA and none of Blue’s skier visits or revenue. Given the impact that FX in the acquisition of Blue had on our financials, I will reference several same store metrics that were calculated on a constant currency basis and as if 100% of Blue Mountain was owned during all periods. For fiscal 2015, total segment revenue was $582 million and total adjusted EBITDA was $112.7 million, which represents growth of 13.8% and 11.4%, respectively, over the prior year. On a store basis, total segment revenue grew by 5.8% and total adjusted EBITDA increased by 10.4%. We exceeded the high end of the guidance that we provided in February for both revenue and adjusted EBITDA due to the stronger than anticipated fourth quarter performance in our Mountain and Adventure segments. Specifically, we had a stronger than anticipated finish to the ski season and benefitted from extending the season at Blue and Stratton into mid-April to take advantage of favorable late-season conditions. Additionally, our ancillary aviation businesses had a higher than anticipated level of firefighting activity and the strategic placement of our equipment improved our ability to secure call when needed work. In the Mountain Segment, fiscal 2015 revenue grew by $75.1 million or 21.4% relative to the prior year. On a same store basis, Mountain Segment revenue for the year increased by $27.4 million or 6.4%. We are especially pleased with these results given the below average snowfall in Colorado and the prolonged period of extreme cold in the east during February. Relative to last year we had same store skier visit growth of 1.2% and same store mountain revenue per skier visit growth of 5.6%, which was driven by our successful price increases and our guests’ high level of satisfaction and continued willingness to spend during their vacations. As a result, we enjoyed same store growth throughout our lines of business within the Mountain Segment with lift revenue up 8.1%, ski school up 9.9%, retail and rental up 9.8%, lodging up 4.3%, and food and beverage up 4.1%. Non-adjusted increased by $13.6 million or 18% relative to the prior year. On the same store basis, non-adjusted EBITDA grew by $10.3 million or 12.6%. This represents same store mountain adjusted EBITDA margin expansion of 100 basis points even after absorbing an increase in administrative costs related to operating as a public company. In the Adventure Segment, revenue for the fiscal year decreased by $5.3 million or 5.2%. This change was primarily due to an unfavorable foreign currency translation adjustment of approximately $10 million. On a constant currency basis, Adventure Revenue increased by 4.6%. This growth was driven by our ancillary aviation services, which benefited from an increase in fire suppression activities during the fourth quarter of fiscal 2015. Adventure adjusted EBITDA for the fiscal year decreased by $3.3 million or 19.6% while on a constant currency basis, it was only down $800,000 or 4.6% after absorbing administrative costs related to operating as a public company. In the Real Estate Segment, revenue for the fiscal year increased by $700,000 or 1.3% and on a constant currency basis, it increased 3.8%. This growth was primarily due to the sale of non-strategic parcel of land at Tremblant. Real Estate adjusted EBITDA for the fiscal year grew by $1.2 million or 13.1%. On a constant currency basis Real Estate adjusted EBITDA grew by $1.6 million or 17.5%. Again, this growth is largely the result of the profit on the land sale at Tremblant. On a GAAP basis, our net loss improved in fiscal 2015 by $182.5 million compared to the prior year. This is primarily due to the restructuring and refinancing in December of 2013. Fiscal 2014 included related party interest expense for the six months prior to the December 2013 restructuring. Capital expenditures for fiscal 2015 were $41.9 million versus $45.2 million in the prior year. For fiscal 2015, capital expenditures were consistent with our previous guidance. In closing, I’d like to provide guidance for fiscal 2016. We expect fiscal 2016 segment revenue to be in the range of $571 million to $596 million and adjusted EBITDA to be in the range of $116 million to $121 million This guidance assumes normal weather conditions across our portfolio and the US to Canadian dollar change rate of 1.33 and assumptions based on the forward curve through the end of the fiscal year. This represents further weakening of the Canadian dollar relative to the 1.24 weighted average rate last year. At the low and high end of the range, our fiscal 2016 adjusted EBITDA guidance represents growth between 3% and 7% or between 6% and 10% when expressed on a constant currency basis, translating our anticipated Canadian adjusted EBITDA at last year's weighted average exchange rate. It is also important to note that for year-over-year comparison, fiscal 2015 included a land sale in the Real Estate Segment and the fiscal 2016 guidance does not assume a similar land sale. We expect fiscal 2016 growth to be driven primarily by the Mountain Segment. We anticipate fiscal 2016 Mountain Segment revenue to be in the range of $435 million to $460 million and Mountain adjusted EBITDA to be in the range of $96 million to $101 million. Our assumptions are based on Mountain organic growth from increased pricing, strong pacing in our season pass and frequency product sales and continued success of growth capital investments, including the renovation of the base lodge at Stratton. We expect fiscal 2016 Adventure Segment revenue to be in the range of $85 million to $90 million and Adventure adjusted EBITDA to be in the range of $12 million to $14 million. We anticipate growth at CMH with the return to normal condition, increased pricing and currently strong reservations pace, which is expected to be offset by the weakened Canadian dollar. We expect fiscal 2016 Real Estate Segment revenue to be in the range of $51 million to $56 million and Real Estate adjusted EBITDA to be in the range of $7 million to $8 million. These estimates include the impact of the weakened Canadian dollar and do not assume a land sale in fiscal 2016 comparable to the land sale in Tremblant during fiscal 2015. Finally, we expect the net income attributable to Intrawest Resorts Holdings to be in the range of zero to $10 million. We expect this year will be the first year of positive earnings by the company since fiscal 2007. It is also important to remember the seasonality of our business. The third fiscal quarter remains our largest quarter and we estimate that it will account for approximately 140% of total fiscal 2016 adjusted EBITDA. As in the past, we expect the second fiscal quarter to be approximately break-even and the first and fourth fiscal quarters to be loss quarters. With that operator, we’d be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from Joe Edelstein with Stephens. Please state your question.
Joe Edelstein: Good morning, Tom, Travis and Liz, how are you?
Tom Marano: Good, thank you. How are you?
Joe Edelstein: Doing great, thanks. Thanks for taking the question. Maybe just to start with Travis, the new guidance you said is based on the normal weather conditions, but at this point, how should we be thinking about the potential impact from a potential El Niño weather event this year? I mean, the weather patterns always seem to be a bit different. But in the Adventure Segment, the category that’s most at risk for the scenario?
Travis Mayer: I guess, to answer your question, I really have no idea. The reality is we’ve had El Nino’s in the past quite frequently and sometimes they result in average conditions, sometimes they result in better than average conditions and sometimes they result in below average conditions. And there is all sorts of factors that affect the weather and the snowfall and it’s way too early to tell to really have a constructive view on what’s going to happen.
Joe Edelstein: Okay, fair enough. And then I was hoping you could also add a bit more color around your Mountain Segment growth outlook. You mentioned expected pricing, deeper penetration with season pass and frequency products, but just kind of baseline expectations for skier visit growth and effective ticket price increases at low-single digits for each of those or where are you thinking right now?
Travis Mayer: I mean, I will start with the pricing side. We are targeting price increases in the 3% to 4% range. The actual increases will be different by property depending on where we think there is demand and what our competitors are doing, but that’s sort of a good rule of thumb. We haven’t provided ETP or skier visit guidance. I can stay when we built our business plan for next year, we try to come up with a plan that will get us to the revenue and EBITDA numbers without relying upon the kind of visit growth. This gives us a more conservative dependable way to get there and ultimately, we want to point that the revenue and the EBITDA numbers, because of the skier visits and ETP can float around with snow conditions and the amount of average pass business and stuff like that, so they are not as useful of metrics.
Joe Edelstein: Okay. And then within the Adventure Segment, you have obviously given that early booking trends up 8% so far, you sound pretty encouraged with that. But just given the currency moves, do you think or at least were you anticipating higher trend than kind of that run rate you’re at right now, it sounds like maybe you’re still hopeful that you will see an acceleration there?
Tom Marano: This is Tom. We tend to see more of the Americans booking little bit later in the fall, so we are happy with the growth that we have seen so far and we’re optimistic that people will recognize the value in the currency differential right now.
Joe Edelstein: Okay, thank you Tom. And Travis, maybe just one more for you. Can you give us some more color on the accounting revisions, it sounds like they are pretty small, but just any additional accounting controls that you might be putting in place here with this information?
Travis Mayer: Yeah, I’ll start with the control question. I mean, I don’t think this is a really a control issue, it’s – we made immaterial corrections to prior period financials. The major correction is related to the accounting for revenue recognition at a private club at Stratton Mountain. All the corrections are immaterial and small. There is a lot more detail on the 10-K, if you want to pull this right now and read about it.
Joe Edelstein: Okay. Thanks, I will let the others in the queue. Thanks.
Operator: Our next question comes from Joel Simkins with Credit Suisse. Please state your question.
Joel Simkins: Hey, good morning. Let me just start with the one here, I guess, can you guys give us a bit of color on M.A.X. Pass and what you’re seeing early days? Is this sort of a market share grab opportunity versus some of the other established pass products out there? Do you see this potentially cannibalizing Rocky Mountains Super Pass and Pass Plus or do you really see this kind of creating new kind of discrete demand?
Tom Marano: Hi, this is Tom. Let me break that into a couple of components. M.A.X. Pass in particular is designed for the East, so it’s difficult for us to tell at this time what kind of volume we’re going to get out of it, because most of those passes are sold on the East Coast in the fall. So we will know more by the next call. We don’t see this cannibalizing the Rocky Mountains Super Pass Plus. We see it as an extension of that particular type of product and a way of developing a broader client base out at East. So we are optimistic with it, but as I said, it’s really going to be in the fall that we start to see those folks purchase those passes in any kind of size.
Joel Simkins: That’s helpful. And some of your forward commentary on CMH is pretty encouraging in terms of the demand. With regard to that business, I know last year, you weren’t really able to capitalize on lower fuel prices just given how the fuel is delivered. But is there any potential sort of uplift baked into your assumptions around the fuel prices for that business this year?
Tom Marano: We obviously have been acquiring cashes [ph] at lower prices and all of that has been taken into account in our guidance.
Joel Simkins: Okay. And one final follow-up here, Tom, while we have you obviously, can you probably continue to be sort dual [ph] tracking real estate opportunities and evaluating M&A opportunities? Can you just remind us kind of where these fit on the priority spectrum and can you do both or are you sort of more interested in one versus the other?
Tom Marano: The way I look at it is we have to try and do both. You need to stay focused on both because you’re not sure which opportunity is going to really have the best scenario unless you’re focused on them at the same time. We -- so we’re considerably focused on doing both and as we come across the best opportunity, we will take advantage of it.
Joel Simkins: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Chris Woronka with Deutsche Bank. Please state your question.
Chris Woronka: Hey. Good morning, guys. Wanted to ask the real estate question I guess a little bit deeper and just, is there anything maybe relative to last call or last update on progress on negotiations with potential partners on development or sales or anything, is there just anything kind of to report yet?
Tom Marano: Sure. So we’re working with two professional firms on ascertaining the highest and best use. We’re always having conversations with people who are looking to do things at our resort. But at this point in time, we don’t have anything material to talk about. So if I had something material, I would share with you, but right now, we are focused on it and we are trying to find the highest and best use, but nothing to report at this time.
Chris Woronka: Okay. Got you. And then if you look out and what you’ve sold on some of the frequent pass products to date, do you expect there to be any kind of shift in the demographics of your customers this year, kind of in terms of east, west coast origin or do you think it’s going to be pretty much the same this year?
Travis Mayer: This is Travis, Chris. We would expect it to be relatively similar to last year and a possible caption would be stuff related to the M.A.X. Pass because that’s a product that’s specifically targeting the east coast market and targeting customers that aren’t already kind of part of our portfolio. So we’re hoping pursuant success with that, but otherwise pretty similar demographic composition of our book.
Chris Woronka: Okay. Very good. And then on your expansion at -- your renovations trend, do you expect to see a pretty good immediate lift this season or do those things typically take maybe a second season to kind of ramp-up?
Tom Marano: We are hoping for a good lift this season.
Chris Woronka: Okay. Great. Very good. Thanks guys.
Operator: Our next question comes from Afua Ahwoi with Goldman Sachs. Please state your question.
Afua Ahwoi: Hi. Good morning. Just a few from me. First of all, maybe can you remind us given the M.A.X. Pass and then the Passport program that you have which is just for the Intrawest Resorts, where do you stand on both of them, are you investing behind both of them, are you going to pull more money behind one, is one fading away, maybe how are you approaching that? And then, I’m not sure if I missed this, but on the land use, did you remind us -- did you say where you stand on whether building some real estate on that, I know at some point, there was talks of condos or is there -- or would you look to sell that land or where do we stand on that front and I’ll follow up with some others?
Tom Marano: Great. The Passport product is actually not available this year. We put the M.A.X Pass out there because we think it is a better value for our customers. It gives them access to more mountains, a total of 22 mountains with five days of each mountain. So we decided that Passport would be a distraction and we put all our effort in to the M.A.X Pass.
Afua Ahwoi: Is that something that -- is it a testing to see how that goes and potentially that just never comes back or what is the longer term view on the Passport?
Tom Marano: In general, we are constantly evaluating pass products for the most effective revenue management. So things could change, anything is really open, but for right now, our work on revenue management indicated M.A.X Pass would be the better way to go. And then just to hit your real estate question, right now, as I mentioned before, we’re working with two design firms to really come to the highest and best use on the properties. Anything is possible, Afua. I’m a trader. If someone wants to buy some of the land, unless it’s an extremely strategic parcel, I’ll sell it if we like the price. But where we think it makes sense to put some condos up, we’ll consider doing that as well. But we’re in the early phases of that right now, and we are intent on putting together a comprehensive plan that maximizes the value of this real estate.
Afua Ahwoi: Okay. And then maybe, remind me where do you stand on sort of the leverage strategy, especially in a rising interest rate environment, is there any plans, especially if maybe some of these M&A acquisitions take a while to play out, is there any plans on accelerating debt pay down to sort of prevent some of that increase?
Travis Mayer: Hi, Afua. This is Travis. I think long-term, we still have a goal to gradually to de-lever overtime. The nice thing is we’re in a really strong liquidity position as a result of strong TCs and then a little bit of extra borrowings for the incremental term loan related to Blue. So, we’re certainly in a comfortable position with the cap structure and we also have some cash in the balance sheet to invest in things, which is fantastic. And as we grow, I would point to de-lever, but no plans right now to pay down a big chunk of debt.
Afua Ahwoi: Okay. Thank you. That’s it from me.
Operator: Thank you. [Operator Instructions] Our final question comes from Matthew Brooks with Macquarie. Please state your question.
Matthew Brooks: Good morning. I was wondering if you could tell us anything about the number of visits or the revenue per guest night for CMH.
Tom Marano: We don’t break out visits at our specific resorts or business lines.
Matthew Brooks: Okay. And on the real estate segment that you provided guidance for, could you tell us what’s driving the expected decline in revenue in that business?
Travis Mayer: Yeah. This is Travis again. You have to remember that two things that the first thing is that, most of the revenue and EBITDA from that segment is Canadian dollar denominated. So it’s impacted pretty heavily by the FX rate, which has shifted from 1.245 last year to what we think will be 1.33 over the course of this fiscal year. That’s a big part of it. And then also last year, we had a land fill transaction at Tremblant, which made a contribution to revenue and EBITDA and we don’t have a transaction kind of in process now that we want to talk about and we think it’s sufficiently profitable to build in to the guidance.
Matthew Brooks: Okay. And lastly, I was just wondering, does that impact your thing on the Canadian economy on your visits in Canada, perhaps, the economy looks pretty weak, but maybe this is being offset by stronger international guests because of lower currency, can you give any color on that kind of dynamic?
Tom Marano: Sure. First of all, we think that one of the things that’s going to actually help us up in Tremblant is the weaker currency will most likely cause Canadians to stay home and will drive visitation at our Canadian locations. We also are hopeful and are going to be doing some marketing to continue to press the value of making a trip up to Canada, not only on just the currency advantage for your room and your tickets, but also on purchasing gear. So that is part of our marketing strategy and we are optimistic that we can leverage that.
Matthew Brooks: Okay. That’s useful. Thank you.
Operator: Thank you. There are no further questions at this time. I will now turn the call back over to our Chief Executive Officer, Mr. Marano for closing remarks. Thank you.
Tom Marano: All right. Thank you, everyone very much for your time. We appreciate your interest in our company and we look forward to continued strong growth.
Operator: This concludes today’s conference. All parties may disconnect. Have a good day.